Operator: Good day, and thank you for standing by. Welcome to the Quarter Three 2024 DENTSPLY SIRONA Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your speaker today, Andrea Daley, Vice President of Investor Relations.
Andrea Daley: Thank you, operator, and good morning, everyone. Welcome to the DENTSPLY SIRONA third quarter 2024 earnings call. Joining me for today's call is Simon Campion, Chief Executive Officer; Glenn Coleman, Chief Financial Officer and Rich Rosenzweig, EVP, Corporate Development, and General Counsel. I'd like to remind you that an earnings press release and slide presentation related to the call are available in the Investors section of our website at www.dentsplysirona.com. Before we begin, please take a moment to read the forward-looking statements in our earnings press release. During today's call, we may make certain predictive statements that reflect our current views about future performance and financial results. We base these statements and certain assumptions and expectations on future events that are subject to risks and uncertainties. Our most recently filed Form 10-K and any updated information in subsequent SEC filings, lists some of the most important risk factors that could cause actual results to differ from our predictions. Additionally, on today's call, our remarks will be based on non-GAAP financial results. We believe that non-GAAP financial measures offer investors valuable additional insights into our business' financial performance, enable the comparison of financial results between periods where certain items may vary independently of business performance and enhance transparency regarding key metrics, utilized by management and operating our business. Please refer to our press release for the reconciliation between GAAP and non-GAAP results. Comparisons provided are to the prior year quarter, unless otherwise noted. A webcast replay of today's call will be available on the Investors section of the company's website following the call. And with that, I'd now like to turn the call over to Simon.
Simon Campion: Thank you, Andrea, and thank you all for joining us this morning for our Q3 2024 earnings call. I will start with an update on Byte, then provide an overview of our Q3 performance and highlights. Glenn will go over Q3 financial results, and I will finish by covering our revised 2024 outlook and a strategic operating update. But first, I want to take a moment to acknowledge Glenn and thank him for his leadership and many contributions to our Company and its transformation journey over the past two years. We wish him well in his future endeavors. Let's start with some key points on Slide 3. In late October, we announced a voluntary suspension of sales, marketing and shipments of Byte aligners and impression kits, while the company conducts its review of certain regulatory requirements related to these products. We made this decision in communication with the FDA and remain in close contact with them. Patients are and will continue to be our top priority and we are committed to doing what's right for them. Byte has communicated to customers that it is not selling impression kits, starting new cases or processing refinements for patients mid-treatment. We are not at a point in our analysis to make a definitive decision concerning Byte and we are thoroughly evaluating strategic options, which may include a discontinuation of some or all of this business. Our decision will be data driven, taking into account the legislative environment, recent performance, longer term prospects and the ongoing regulatory review, which may take time and require additional investment. We are continuing to assess the resources at Byte for opportunities to leverage capabilities and are already redeploying assets to other parts of our business. In the meantime, we have moved swiftly to significantly reduce discretionary spending. We promised on day 1 to be transparent with you and we will continue this philosophy as we determine the next steps for Byte. Turning to third quarter performance, we delivered $951 million in revenue with organic sales up 1.3% driven by timing of EDS sales with distributors purchasing in anticipation of our first U.S. ERP deployment. Excluding this, sales were down 0.8%. We continue to see pressure on our implants and equipment business and CAD/CAM growth was propelled in part by the launch of Primescan 2 in September. Reduced conversion rates for Byte drove a sequential double-digit decline, while SureSmile experienced mid-single-digit growth in the quarter over the prior year period. Now let's shift to guidance. As a result of market pressures that continue to impact U.S. equipments as well as Byte, we are revising our full-year 2024 outlook, which I will cover later. As we told you with the Byte announcement, Byte had approximately $40 million in sales in Q3 and was dilutive to adjusted EPS. While we see innovation as a growth catalyst and important value driver for our customers, we remain cautious on the overall macroeconomic environment. Capital equipment and electric procedure headwinds persisted throughout the third quarter and the environment remains uncertain. Our October customer survey of over 1,300 respondents indicated that our major markets remain largely unchanged. Patient traffic was flat in the U.S. and Germany, while Japan and China both saw declines and results showed a slight decrease in utilization, particularly in elective procedures. Sentiment in Germany remain negative, but it was encouraging to see at least for now some improvement in practices desire to purchase capital equipment. Now before we discuss Q3 results in more detail, I'd like to share some recent business highlights on Slide 4. Starting with operational updates. On November 1, we went live with our first ERP deployment in the U.S. building on our previous rollout in the U.K., which I'll cover in a bit more detail shortly. We have now executed the majority of our Phase 2 transformation activities and are on track to deliver full run rate savings by the end of 2025. Moving to innovation, we were pleased to launch Primescan 2 in September, which sets a new milestone in digital dentistry. It is hardware independent, wireless and powered by DS Core. The link between Primescan 2 and DS Core represents further integration of our digital ecosystem and provides our customers more flexibility and efficiency within their practice, while also enabling a better patient experience, which all supports practice growth. With DS Core, we continue to drive adoption with over 32,000 unique users as of the end of Q3, representing approximately 20% growth sequentially. Last quarter, I shared that R&D had identified opportunities to reallocate funds into higher return programs. Specifically, we plan to invest in the SureSmile orthodontics software, accelerate DS Core capabilities and make further investments across our connected technology platforms. Since the launch of DS Core, we have delivered over 85 new software updates adding functionality and capability to the platform. We have a healthy innovation pipeline for DS Core and have demonstrated accelerated adoption when we add significant functionality. As we continue to drive innovation, a key component of our strategy is digital connectivity with DS Core serving as the hub. The transformation to digital dentistry starts with a scan and the versatility and portability of Primescan 2 with its link to DS Core provides a gateway to treatment options and planning. Looking forward, we see many more opportunities to advance connected technologies and we plan to accelerate our pace to get there by allocating more of our R&D dollars to that area. Within CTS, we also expanded the re-launch of the Orthophos SL imaging line, bringing it to additional markets in EMEA and Asia-Pac. In EDS, we launched X-Smart Pro+, our tabletop endo motor in the U.S. Initial reception has exceeded our expectations with our full-year projections already achieved by the end of Q3. Sales rep engagement has also been strong with 100% of reps having sold a motor. Through Q3, we successfully received 510(k) clearances for five products. This is a testament to the improvements we have made in the execution of our NPD and regulatory processes, and we look forward to bringing these innovations to market. Wrapping up our highlights, clinical education remains an important component of how we bring value to our customers. In Q3, we hosted multiple events around the world including DS World in the U.S., Spain and Italy and our MIS Implants Conference in Europe. At DS World Las Vegas, we hosted over 4,000 total participants and offered more than 100 clinical education courses and we exceeded our sales projections for this event. Additionally, in Q4, we are holding inaugural DS Worlds in Japan and Brazil. And with that, I'll turn it over to Glenn to provide more details on Q3 financials. Glenn?
Glenn Coleman: Thanks, Simon. Good morning and thank you all for joining us. I want to start by expressing what a privilege it's been to be part of the DENTSPLY SIRONA team. I'm proud of what we've accomplished together and remain confident in the strategy and vision that's driving the company's transformation journey. Before we turn to a discussion on our non-GAAP third quarter financial results, let me mention that we recorded a roughly $500 million non-cash after tax charge in Q3 related to goodwill impacting the Orthodontic and Implant Solutions segment. This charge was the result of sustained macroeconomic pressures, legislative challenges impacting Byte and weakened demand and competitive pressures in implants. Let me now move to Slide 5 to discuss third quarter results. Revenue was $951 million representing an increase of 0.5% on a reported basis and 1.3% on an organic basis compared to the prior year quarter. Foreign currency headwinds were less than anticipated, but still had a negative $8 million or 80 basis point impact on sales. On a constant currency basis, growth was attributed to EDS, which included an estimated $20 million in U.S. distributor orders placed in advance of the November 1 ERP deployment in the U.S. that were shipped and recognized as revenue in the third quarter. Excluding these timing impacts, overall organic sales declined 0.8%. We also saw growth in CAD/CAM supported by innovation and the recent launch of Primescan 2. However, this growth was offset by declines in equipment and instruments, Orthodontic and Implant Solutions as we continue to see market pressures in equipment and elective procedures. EBITDA margins declined 40 basis points versus prior year, mainly due to a gross margin decline from unfavorable product mix shift, lower volume and lower pricing in CTS. Plus savings realized through our restructuring programs partially offset some of this decline and contributed to the sequential improvement in EBITDA margins. Adjusted EPS for the quarter was $0.50 up 3% versus the prior year quarter, driven by the timing of distributor orders as previously noted. We also benefited from a lower share count, which was partially offset by higher tax rate. Operating cash flow of $141 million was up 5% compared to the prior year quarter due to the timing of accounts payable and improved inventory management. In the third quarter, we completed $100 million of share repurchases, bringing the year-to-date total cash return to shareholders through share repurchases and dividends to $345 million. We maintained a strong balance sheet with $296 million of cash and cash equivalents as of September 30, and our leverage ratio increased slightly to 2.8x. Let's turn to Slide 6 for segment performance. Starting with the Essential Dental Solutions segment, which includes Endo, Resto and Preventive Products. Organic sales increased 7.5%, primarily driven by the previously mentioned impact from the timing of U.S. distributor orders. This impact was a shift of revenue from Q4 to Q3 and is not expected to impact our full-year revenue guidance for EDS. Rest of World sales also showed an improvement over the prior year quarter with growth in China and Canada. Moving to the Orthodontic and Implant Solutions segment, organic sales declined 3. 9% with a decline of approximately 1% in aligners. SureSmile, our professional aligner brand grew 6%. We saw another quarter of strong performance in Europe and rest of world. We've made recent commercial investments and expanded our sales force. This is partially offset by soft demand in the U.S. Byte, our direct-to-consumer aligner brand declined 7% year-over-year and 19% sequentially, primarily due to lower conversion rates and other adverse impacts from legislative challenges in certain states. Moving to Implants & Prosthetics, sales declined mid-single-digits versus the prior year quarter. Sales were down in the U.S. and Europe, and China declined largely due to facing a difficult comp as the prior year period included the first full quarter on the volume based procurement program. Switching to the Connected Technology Solutions segment, organic sales increased sequentially, but declined 1.4% versus the prior year quarter. Global CAD/CAM grew mid-single digits due to increased sales of mills and intraoral scanners to our distributors, which includes the benefit from the recent launch of Primescan 2. Equipment and Instruments declined mid-single digits as the demand environment for equipment continues to be soft due to macro headwinds, competitive pressures and high interest rates. While certain countries started to reduce interest rates in Q3, we did not see any notable impacts in the quarter. Wrapping up segment results, organic sales for Wellspect Healthcare were flat versus the prior year quarter. We saw continued growth in Europe and rest of world, while sales in the U.S. were negatively impacted by the timing of orders from a large distributor. On a full-year basis, Wellspect is still expected to grow mid-single digits, largely driven by new product launches. Now let's turn to Slide 7 to discuss third quarter financial performance by region. U.S. organic sales increased 5.1%, primarily due to the timing of distributor orders in EDS. While CTS grew at the wholesale level, retail demand lagged in the quarter. This contributed to a sequential increase in distributor inventory of approximately $48 million, which also included the initial stocking of Primescan 2 and the expected seasonal increase. This compares to a $28 million sequential increase in the prior year quarter. We continue to closely monitor wholesale and retail dynamics, and we expect distributor inventory levels to return to historical averages by the end of the year. Our U.S. clear aligners business declined 4% versus the prior year quarter, largely driven by declines in our Byte business and softer demand trends. In addition, implants declined year-over-year due to market pressures. Turning to Europe, organic sales declined 2% due to lower demand for implants and continued pressure on equipment, most notably in imaging. This was partially offset by SureSmile growth of over 20% and continued growth in Wellspect Healthcare. Germany grew in the quarter, the first time we've seen growth in five quarters. We are starting to see slight improvements in sentiment in this market, but remain cautious until we see further signs of improvement. Rest of world organic sales grew 0.6% in the quarter. Implants grew in the region despite the tough comp for China, and EDS and CAD/CAM were also bright spots benefiting from recent product launches. Growth in these areas was offset by a decline in equipment and instruments. And now I will turn the call back over to Simon to discuss the full-year outlook and strategic operating update.
Simon Campion: Thank you, Glenn. First, I will cover our updated outlook for 2024 on Slide 8, and then get into our strategic operating update. We are revising our full-year 2024 outlook based on the continued market pressures with equipment in the U.S. as well as Byte. Let me note that our forecast revisions do not include potential impact from any additional remediation measures we may take or decisions we may make related to our continued assessment of strategic options for the Byte business. That said, we wanted to provide you with current updates to our forecast in the spirit of ongoing transparency. We expect organic sales to be down 2.5% to 3.5% compared to our prior estimate of flat to down 1%. We expect full-year net sales to be in the range of $3.79 billion to $3.82 billion with less of an FX headwind based on current rates. Our outlook for adjusted EBITDA margin is now approximately 17.5%, down from our prior estimate of greater than 18%, driven by lower sales volume and unfavorable mix impacting gross margin, which offset the positive contributions to profitability from our multiple initiatives. With these updates, we now expect 2024 adjusted EPS to be in the range of $1.82 to $1.86 representing slight growth over the prior year at the midpoint of the range. While we don't plan to issue guidance until February, I think the obvious question many of you will have surrounds our original $3 adjusted EPS target for 2026. Clearly, the macro and other pressures like Byte have created significant hurdles to achieving this target and we will provide you an update with our year end results. Moving on to our strategic update starting on Slide 9. This year we have faced challenges that have negatively impacted our performance such as market and other dynamics, and most recently Byte. Specifically, we have underperformed in certain major geographies and product categories. We told you, for example, at the beginning of the year that we expected growth acceleration in implants in the second half and we have not delivered the progress we anticipated. As one of the steps to address these issues, we have made a number of leadership changes as we continue to evolve to a high performance, disciplined and accountable culture in this company. The initiatives that we have underway to transform DENTSPLY SIRONA are progressing as planned and we remain confident in the strategy and the priorities we've set to execute on them. Last quarter, we shared our plans to unlock further efficiency through a second phase of transformation. We have now executed on over 70% of the identified actions and remain on track to deliver on our Phase 2 savings goal. Now moving to Slide 10 with an update on our foundational initiatives. These initiatives focus on simplifying our portfolio, driving network efficiency and modernizing our ERP landscape. We are advancing our SKU optimization work focused on our Endo and Resto portfolios with approximately 50% of non-revenue generating SKUs already eliminated. We expect the remainder of these SKUs to be eliminated by the end of this year, and we expect to migrate most of the revenue generating SKUs in 2025. Our supply chain team continues to seek opportunities to improve our network performance. This quarter, we ceased operations at one of our U.S. manufacturing sites. To-date, we have closed three manufacturing sites and four distribution centers and continue to explore more opportunities to drive more network efficiency. As I mentioned earlier, we have now completed two deployments as part of our ERP rollout of SAP S/4HANA. We went live with the U.K. in August and resumed business activities at full volumes within three days. As you would expect with these implementations, we have made some limited adjustments and fine tuning to our processes. Overall, we are very pleased with the U.K. launch and would like to recognize the collaboration and patience from customers and distributors as we executed this initiative. Earlier this month, we also went live with our first deployment in the U.S., primarily involving the resto and preventive businesses within EDS. This is the first in a series of U.S. deployments with additional rollouts scheduled to continue throughout 2025 and into 2026. As you all know, ERP implementations require tremendous efforts and I'd like to take this opportunity to thank our global teams for their great work to get us to this point. Earlier, I touched on Phase 2 of our business transformation journey aimed at reducing operating expenses to fund key reinvestments. We previously noted that an important part of this reinvestment focuses on creating our own demand and augmenting both DSS and our distributor sales efforts. To that end, we have already hired over 75 of approximately 100 virtual reps we plan to have in place by the end of Q1 2025. Trained reps began engaging with customers this very week. And again, we view having a virtual sales team as a cost effective way to improve our relationships with and proximity to our end customers. Let me give you a little more color on some of the redeployment efforts we are undertaking as it relates to the team at Byte. We have recruited a very talented workforce there with the dynamics of this business requiring advanced skill sets for developing a robust patient funnel, strong social media presence, customer service, e-commerce, technology and software, data assessment and treatment planning. Many of these skills translate very well to our other businesses and initiatives and can potentially accelerate our efforts discussed last quarter like getting closer to the customer, generating our own demand and improving our SureSmile software and e commerce user experience. Now let me close on Slide 11 with a few summary remarks. On October 24th, we announced the voluntary suspension of the sales, marketing, and shipment of Byte Aligners and Impression Kits. As we have discussed, we are conducting a regulatory review and evaluating strategic options for Byte moving forward. In the quarter, we posted organic sales growth of 1.3% driven by a mix of timing in EDS and CTS orders. Without the distributor order of timing impact, sales declined 0.8%. As anticipated, benefits from our transformation work positively contributed to EBITDA. We are revising our 2024 outlook in light of the market pressures impacting equipment in the U.S. and the evolving landscape with Byte. We remain committed to innovation as evidenced by the launch of Primescan 2 in September and the launch of XMEye Pro Plus in the U.S. We have a healthy innovation pipeline and as we couple it with better process, discipline and focus, we see opportunity to alter the return trajectory of our total innovation pipeline. Lastly, our business transformation journey continues to take shape as we execute strategic plans and initiatives to make DENTSPLY SIRONA a more efficient, more effective and stronger company. And with that, I will open it up for questions.
Operator: Thank you. We will now conduct the question-and-answer session. To start it off, I would like to turn it over to the CEO, Simon Campion.
Simon Campion: Good morning, and thank you. In the ongoing spirit of transparency, I want to inform you all about a developing situation today in Germany. We are aware that federal and local authorities and tax investigators arrived at our facilities in Bensheim and Hanau this morning. Obviously, this is a very recent development and we intend to cooperate with the authorities. Our facilities in Germany are operating as normal and we do want to continue to emphasize that ethics and compliance is at the center of everything we do. And finally, on this matter, given the evolving status of this situation, we will be unable to answer any questions on this subject during Q&A. And with that, I'll hand it back to the operator to walk us through Q&A. Thank you.
Operator: Thank you. [Operator Instructions]. Our first question comes from David Saxon at Needham & Company. Your line is now open.
David Saxon: Great. Good morning, Simon and Glenn. Thanks for taking my questions. And Glenn, good luck on your next chapter. I have two questions.
Glenn Coleman: Thank you.
David Saxon: Yes. Great. Just two questions, one on Byte, one on implants. So on Byte, can you just give us an update on how long you think the suspension might last? And then in terms of cost tied to Byte, it sounds like the cost in the quarter at least was around 40 million or in that range. Does that include COGS and OpEx or just OpEx? And then on the OpEx side, how much or what percent, can you reallocate to other parts of the business, if Byte does go away and how much would be viewed as more discretionary?
Simon Campion: Yes. Good morning, David. I'll take the first part and then Glenn will have a crack at the second part of your question. Listen, I would say that we are still conducting the review and all necessary analysis that go into this. It's a multi-factorial assessments that involves regulatory, technical, commercial and operational. And it does need to take into account the legislative environment we find ourselves in recent performance, longer-term prospects of this business. And as I noted, the ongoing regulatory review, which may take time and require further investment on our part. So we want to be swift, but diligent and try and get an answer to you all, but also to our employees as swiftly as possible. We've taken very fast action on the cost side. We've seized all marketing activities. For example, we informed the all, shall we say relevant employees yesterday that their jobs will be ceasing to exist over the next couple of weeks. And the redeployment of assets that we think can be redeployed is ongoing, but we already have moved different groups of people such as software developers over to other areas of our business. And so Glenn, do you want to have a crack at the cost part of that question?
Glenn Coleman: Yes. I think the only thing we can say around the Byte P&L is, the most recent quarter we did about $40 million of revenue. That's obviously down versus prior year. It's down sequentially, close to 19% or so. So the business has been declining. It is accretive to our gross margins but dilutive to EBITDA margins. So there's a high OpEx cost associated with this business. I think we've even said that most recently we've operated at a loss in the most recent quarter. So the business has been declining, deteriorating, and it is accretive to gross margins but overall dilutive to our operating profit, and we're actually in a loss position in the most recent quarter. So I think that gives you a general idea about the type of OpEx this business has. And as Simon mentioned, we're taking action where we can to take out as much cost as possible in the short term here to minimize the potential impact.
David Saxon: Okay. That's super helpful. Thanks for that. And then my second question is just on implant. So it weakened sequentially. I guess, can you talk about the performance across value versus premium? And then as it relates to China, I guess, are you expecting that region to be down until you lap the VBP comps? And then lastly, on implants, you talked about some leadership changes. Can you just talk about kind of how you see the strategy going forward? And any update on kind of expectations around returning to growth and market growth? Thanks so much.
Glenn Coleman: Yes. Thanks, David. So on the value side, we saw a decline this quarter for the first time this year in that part of our business. And as we've informed you before that represents 25 or so percent of our total business. That was impacted by some unique events. We're obviously, we're lapping the China situation, so that's one. The situation with in the Middle East with Turkey, they won't import any products manufactured in Israel. That's had a significant impact on us so far this year and again in Q3. And then there was a timing issue with respect to eager in Central Europe as well. So that is certainly impacting us. In general around electives, we saw a decline in our survey of, as I said, over 1,300 people, particularly in Japan and China. But fortunately, we saw no further degradation in the U.S. and Germany. So, that's where we are with performance in the quarter. And listen, we have simply failed to live up to our own internal expectations on this. We've made -- we want to communicate the value that we bring at the upper end and the low middle of the range with our MIS implants. And so we felt some change and freshening up was needed. And so we have taken that and it is we have the portfolio we feel and our customers feel to win in this space. We have invested heavily in clinical education and expansion of the sales team, particularly in the U.S. in this space. So there are the only reasons for us to fail are internal reasons. And so we're trying to remediate those right now.
David Saxon: Great. Thanks so much.
Operator: One moment for our next question. Our next question comes from Kevin Caliendo of UBS. Your line is now open.
Kevin Caliendo: Thanks. And thanks for all the transparency on this situation. Can you just remind us first like how big Germany is for you in terms of sales or any other numbers you can provide? And then I guess second question, more macro. At this point, given how the macro is, Simon, as you sit there, how do you think about investment versus cost saves? Like, is the macro such that it's an opportunity to try to take share as things are bad and like let's educate everybody and let's throw money at the problem and as things get better, we'll be in a really good situation? Or are you at a point where, hey you know what, it's bad, let's just circle the wagons. And I know you have this cost savings program, but how do you think about investment versus cost saves when the macro is just extending worse than you had imagined?
Simon Campion: Yes. Thank you, Kevin. So in relation to the first part, Germany represents about 10% of our total business. And there's quite a healthy portion of that that's in the connected technology legacy Sirona business. With respect to cuts versus investment, I think we've said that we cannot cut our way to growth. I think we've tried to be very diligent with respect to taking out costs in certain areas of our business that are not customer facing, just taking out infrastructure costs that we feel are unnecessary and investing in areas that will stimulate growth in areas that are higher growth categories. For example, I'll refer you back to our Investor Day presentation. We said, hey, we believe we should be growing at market in implants and that's a mid to high-single-digit growth market. Strong double-digits in aligners, obviously, Byte has impacted that. But those sort of areas that we do want to invest in that we are at a competitive disadvantage with respect to feet on the street and capabilities and also invest in what shall I say, the hygiene of this company by getting our websites up, by getting our e-commerce up, by making it easier to do business with et cetera, et cetera. So we see where we have spent money in areas that are not driving creating demand and enhancing the customer experience. And so we're taking money from there and investing it to sell ourselves up to make us, as I said in my remarks, a stronger company moving forward.
Kevin Caliendo: Thanks, Simon.
Operator: One moment for our next question. Our next question comes from Jeff Johnson of Baird. Your line is now open.
Jeffrey Johnson: Thank you. Good morning, guys. Simon, just on the Byte commentary you made here in the first question of the Q&A about notices going out to employees and obviously you're moving some of your other employees to other parts of the company, things like that. I mean, effectively, it sounds like you're telling us you're shutting down the business without just saying you're shutting down the business. And I understand there's maybe people issues here involved and it's a public call and all that. But at least from our side of the table, from an investor standpoint, is that how we should be looking at things at least for now, take it out of our model, take it out of our expectations on a go forward basis, add Infineum, and then if it comes back, we can deal with it then, but for now that's maybe the safe way to think about things?
Simon Campion: No, that is that's not what I'm saying, Jeff. I'm saying we have a lot of work to do. It's a complex situation that we find ourselves in. And as you rightly said, a lot of people impacts that in that business. We have a lot of technical work to do, regulatory work, consultation with FDA, trying to figure out a path for this project to get back to the market. And then if there is a path, what's the commercial viability of being back in the market? As Glenn noted in his response to David's question, we did about $40 million or so in this last quarter. It was dilutive to our business. The middle of the P&L is quite burdensome in this business. And so when we look at the legislative environment, how much it's going to take to get back into the market, then we have to determine if the view is worth that climb, if the climb is possible. So we're not saying anything about it yet. I'm not trying to duck and dive your question, but they're the facts as we see them right now.
Jeffrey Johnson: Yes. All fair. That's great. And then, Glenn, maybe help us out just a lot of volatility here these last couple of quarters. Can you just kind of level set us what are you exiting 2024 run rate savings on the cost savings initiatives? Where are those cost savings expected to run rate by the end of 2025? So really kind of looking at what would be the incremental potential cost savings in 2025 we can still expect through the P&L number one. And number two, as I look at kind of that low to mid-$0.40 guidance for Q4, I can use the last couple of years, I can use pre-COVID years using a lot of different ways of looking at Q4 as a percentage of your typical earnings year. I can get to a number anywhere from $1.50 to $2 for next year. I know you're not guiding to 2025, but is my thinking correct, kind of that's more the range, the street sitting at 2.28, it just seems impossible for me to believe we can get anywhere near that next year. So kind of take that low to mid-40s and kind of apply whatever fourth quarter percentage we want to, but kind of be more in that range I suggested? Thank you.
Glenn Coleman: Yes. Thanks for the question, Jeff. I think as it relates to the restructuring savings, the first restructuring program is complete. It was completed in Q2. That was $200 million of annualized savings. We've obviously announced the second restructuring program, which is anywhere from $80 million to $100 million. That's, I'd say, on track and a lot of those run rate savings will be seen in 2025. So that's how we look at the restructuring program. Obviously, as we look at the business, Simon mentioned some of the reinvestment that we're going to be doing in the business and we haven't quantified how much will flow through the bottom line versus be reinvested. But we're on track with respect to our restructuring programs that have been announced. As it relates to Q4 and the low $0.40 type number, just keep in mind the Byte business is having a large impact on our fourth quarter forecast. We've essentially removed all revenue associated with shipments beyond October 24, which is when we initiated the ship hold. And while the revenue is obviously removed, there's still cost in this business that we're working through, right? And so you could take that to mean there should be less of an impact as you go into 2025 on a quarterly basis once we work through all of those items. But, nevertheless, we're not going to comment any further on 2025.
Simon Campion: I would say just in relation to that cost statement that Glenn made, Jeff, We have stopped discretionary spending in this business. So costs are people costs for the most part right now.
Jeffrey Johnson: Understood. Thank you.
Operator: Thank you. One moment for our next question. Our question comes from Jason Bednar at Piper Sandler. Your line is open.
Jason Bednar: Hey. Good morning. Thanks for taking the questions. Good luck to you, Glenn, in your next endeavors here. Wanted to dig in a little bit more on the CTS segment and your CAD/CAM comments, and apologies if any of this has already been addressed. I'm bouncing between a couple of calls. But, the lower retail demand in CAD/CAM, do you sense whether this is at all coming ahead of your PS2 launch? And then can you talk about the headwinds you're seeing and how much you'd attribute to the maybe the macro and the level of interest rates versus maybe how much might be competitive headwinds in scanners and printers? Really just trying to understand with these questions, what might be exogenous, and what maybe a cleaner trend or exit rate might look like in CAD/CAM now that you actually have PS2 launched and out there?
Simon Campion: Yes. Good morning, Jason. I think the delta between retail and demand in Q1 and Q2 was pretty reasonable. And we saw a significant delta in Q3 between those two variables. And it's across the board. It's not just on the scanner business. So I don't think it was related to any pent-up demand for Primescan 2. Although, we have done very well with Primescan 2 since it launched where we have sold in excess of 900 cameras around the world. It's been in terms of units with the best quarter of scanners this year and the second best quarter for scanners in three years. So that's certainly helped us this past quarter. If we look at customer sentiment, I shared in our previous -- in the prepared remarks that it had degraded in some areas, but the Germany had stopped the degradation and actually some of the survey results came back that the German customers are now reconsidering investments in their digital workflows. An interesting data point, I think you'll agree is that only 27% of German dentists actually have a scanner. So I think there's a lot of room for digitalization in Germany. Once we get past some of the macro headwinds and those 3D printers are a small part of our business. We had a good quarter on 3D printers. We had a good quarter on mills. So, we're reasonably pleased with what we sold in the quarter. It's just the retail thing hasn't had an impact and given the survey data that we have, we want to be cautious moving forward.
Jason Bednar: Okay. All right. Fair enough. And then on for my follow-up and maybe a little bit bigger picture and, maybe a little bit of a follow-up to what, what Jeff had just asked. But and I don't mean to be critical here, but when we think strategically about the savings plans you've had in place, shareholders really haven't seen these materialize at the bottom line. Earnings are basically flat year-over-year. That's despite headcount coming down or sorry, share count coming down by about 5% this year. You've talked about deploying a large chunk of those Phase 1 savings, even some of the Phase 2 savings back into growth initiatives, but the growth just hasn't really materialized. So the question here is how or whether you think about reevaluating maybe some of those business investments? Whether the returns on that spend justify the investment? And does there come a point where you'd look to drop more to shareholders at the bottom line so that you can get back to growing earnings?
Simon Campion: I think that's an entirely fair question, Jason. That's one that we think about here frequently. As I noted in my response to Jeff's question, there are areas of our business where we have been under resourced and are out fought in the trenches. And those areas are we feel represent areas of growth in dentistry and for DENTSPLY SIRONA in particular. I noted in response to that we don't think we can cut our way to growth here. We have the portfolio. We have been investing in sales teams, in clinical education, for example. We're fixing the software piece on SureSmile. We've got this headwind with Byte. And so driving top line growth is of considerable importance to us, preeminent importance to us. And we feel the investments that we are making will get us there. We've demonstrated with aligners where we expect we grow. We posted very solid growth in Europe this year and indeed in the rest of the world. In North America, our SureSmile business, if you exclude that one partner, where we have a significant headwind with, we actually grew mid-single-digits. So the areas we invest in with the exception of implants, we are unlocking value. And the great work that's been done on the other hygiene factors such as operations is going to show significant benefit when the macro turns, we'll begin to get the true leverage from the actions that we have taken to make DENTSPLY SIRONA a more efficient company.
Glenn Coleman: The only thing I'd add to Simon's comments are, our operating expenses year-over-year are going to be down. So I think the challenge we have is the revenue levels are coming down faster than that. So we are seeing a reduction in overall operating expenses as a result of the actions that we have taken, but we have a revenue challenge, which is why EPS flat year-over-year.
Simon Campion: And we haven't returned over $300 million I think or so this year, Glenn, to investors in the form of share buybacks and dividends.
Jason Bednar: All right. Very helpful. Thank you.
Operator: Thank you. Our next question comes from Jon Block at Stifel. Your line is now open.
Jonathan Block: Great. Thanks guys. Good morning. Glenn, for 4Q, the implied 4Q organic, and that might be down high-single digits or so when we tie out. So do we think about maybe a 400 basis point year-over-year impact from Byte, some impact from the EDS pull forward into 3Q from 4Q to 20 mill? I guess where I'm trying to go with this is we all sharpen our pencils on '25. Just to arrive at like a normalized core revenue for 4Q, optically, again, it might be down high-single digits. It's a little difficult. But do you think it's fair to say maybe it's closer to down low-single digits when we make some of those adjustments, again, most notably the Byte and the EDS pull forward, just as we can get a better sort of jump off our trajectory into '25?
Glenn Coleman: Yes. I think if you look at the organic growth implied guidance for Q4, it's down high-single digits. And keep in mind, there's $20 million of consumables revenue that we called out relative to being pulled forward from Q4 into Q3. So you'd have to adjust $20 for that. And then really the rest of the decline is coming from the Byte situation. And just to put in the context, right, so we stopped shipping on October 24th. And so the rest of the quarter revenues on a $40 million type business are from a quarterly perspective is out of the number. So you can do the math on that to figure out what the impact of Byte is, and then the rest of its coming out of North America and soft retail demand. So that's how we're looking at Q4 right now.
Jonathan Block: Okay. Got it. Fair enough. And then Simon, just a bigger picture question, there's I guess some chatter out there on MA for Dental and there's a good amount of talk about benefits being reduced and what that does or doesn't mean for the dental industry and maybe more specifically implants. So we'd love your thoughts on how you view that going into 2025 and what that may or may not mean for the implant market and maybe even more specifically DENTSPLY SIRONA's initiatives, most notably in North America for implants? Thanks.
Simon Campion: Yes. Thanks, John. Definitely on top of macro, these reductions in benefits are I think are going to have an impact on customers' willingness to pay more out of pocket for implants, perhaps for aligners and so on. So I think we will see an impact. But to turn back again to Jason's question, they are still segments that are attractive growers when you compare it to core dentistry. And so we would still feel that continuing to invest there and get rid of the internal cobwebs that we have to get growth in those areas is still an area of immense interest for us. So, no doubt, it's a headwinds, couple of macro interest rates, the lack of willingness to invest in capital equipment and then these recent patient downturns that we've seen particularly in Japan and China. I think it's -- we're in for a slightly longer period of compression here than everyone has hoped.
Jonathan Block: Thanks for the color.
Operator: One moment for our next question. Our question comes from Erin Wright at Morgan Stanley. Your line is now open.
Erin Wright: Great. Thanks. Could you give us an update on just like the distribution channel, your relationships there, and kind of the conversations how those have been going, since kind of the recent disclosure around sort of revisiting some of those relationships? And so how do we think about that the importance of distribution across your business and also kind of what's in the channel, some of the stocking dynamics pull forward, just how we should think about that? Thanks.
Simon Campion: Yes. So I'll take the first part there, and then Glenn can comment on the channel stocking. We are still heavily reliant on our distributors. They do great work for us. With respect to our friends at Patterson, we continue to work closely with them day in and day out. In fact, we had a senior meeting with them, senior level meeting with them over the past couple of weeks. We continue to be in discussion about the point of contention between us. And we hope that we get to an amicable solution here in the not too distant future. But as I noted back in Q2, we do a lot of great work to enable their success. And so that's the crux of the challenge that we have. And Glenn, do you want to comment on the orders?
Glenn Coleman: Yes. Just in terms of orders, we saw healthy orders from our dealers in the third quarter. I mentioned we had a $48 million sequential increase from Q2 to Q3 in our equipment business. Part of that's normal seasonality with DS World, also saw an uptick in orders from Primescan 2. And I would just highlight that with that dealer inventory increase, there were no special incentives provided to these dealers surrounding that. And that compares to $28 million sequential increase in the prior year. So it was a situation that created elevated inventory levels, and we're just being careful given what we're seeing in terms of the retail demand as we move forward into Q4. And then I mentioned earlier also the $20 million increase in dealer inventories associated with consumables and that was directly associated with our ERP conversion and making sure that we minimize any risk in Q4 around that whole conversion. So that was intentional. Again, no special incentives were given associated with that, but we got our orders in earlier and got some of that delivered in the third quarter.
Erin Wright: Okay. Thanks. And then just on SKU rationalization, you commented on it earlier, but has there been any changes in terms of that cadence or where you're at now in terms of the SKU rationalization efforts? And just remind me, like some of that doesn't necessarily meaningfully impact the top line, right for you? Or are you thinking about that differently in terms of the mix? Thanks.
Glenn Coleman: Yes. No major changes since our last update. Erin, we expect to have all the non-revenue SKUs gone by the end of the year. And we expect the majority of revenue generating SKUs to be migrated by the end of '25. So that's no material change to our thinking since our last update.
Erin Wright: Okay. Thank you.
Operator: Thank you. One moment for our next question. This question comes from Michael Cherny at Leerink Partners. Your line is now open.
Unidentified Analyst: Hi. Good morning. This is Ahmed on for Mike. Looking ahead, how should we think about what ortho organic growth should be excluding Byte, assuming the team can be more focused on SureSmile? I know that there are investments the company is making in software and the push into the ortho market. And lastly, how would you characterize the current and expected uptake in SureSmile with those orthodontists? Other than the software update, is there anything else that's keeping SureSmile back, so to speak from branching into the ortho space more? Thanks.
Simon Campion: Good morning. Let me start with maybe the second part of your question. Our sales team, our commercial teams for the most part focus on general dentistry. And so that's the majority of our SureSpot revenue comes from that group of clinicians. As we noted on our last call, when we get the front end of the software fixed, because that's the general feedback that we get from the community is that then we will invest in a commercial team to begin going calling on orthodontists to try and accelerate even more growth. Obviously that's our competitive friends won't take that line down and it's going to be a tough battle. But we do feel that the clinical offering that we have based on fewer refinements and fewer anchoring points confer the efficiency benefits to clinicians whether they're GPs or orthodontists. In relation to your comment about SureSmile growth, I think our comments from earlier you should consider those. We've grown very healthily in Europe and those areas where we've invested like Japan and Brazil. And if you listen to my comments, I think excluding that one partner that we had that has stopped purchasing, we grew in the mid-single digits on SureSmile in North America. So, we cannot foresee any reasons why that would not continue. And then back to -- linking it back to Byte, as I noted in the prepared remarks, we have some talented people at Byte on the software and demand generation side and we will likely be deploying some of those to help us with the SureSmile software and to help us stimulate some further awareness of SureSmile as a very significant brand in the clear aligner marketplace.
Unidentified Analyst: Got it. Thanks. And if I could sneak in one last one. The revenue generating SKU reduction in 2025, any idea of the impact that has on top line? Is that, if I'm correct, mostly coming from the EDS segment?
Simon Campion: Yes. So, we're -- I don't think we've ever shared what the impact would be on the top line. Obviously, we've been very cautious about that. And it is primarily focused on the Endo and Resto businesses today. The work is focused on those businesses today.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next question comes from Brandon Vazquez at William Blair. Your line is open.
Brandon Vazquez: Good morning, everyone. Thanks for taking the question. Simon, can we go back maybe for a second on implants? And I'm kind of curious if I'm sure you guys have done kind of a postmortem internally where you expected to be today. And I know you're kind of adjusting things on a go forward basis, you're hiring new leadership. But what was it you think that hasn't gone to plan in the past couple of quarters or year or two just to better understand like where you guys are, what hasn't worked and what needs to be fixed still on a go-forward basis?
Simon Campion: Yes. Thanks, Brandon. I think the investments we've made in commission plans and the number of feet on the street and new product development that we've introduced over the past couple of years and a very significant investment in clinical education I think are all the right moves. And so, it comes back to, are we equipping our team in the right way to be successful in the marketplace against a very strong competitor with a very robust portfolio. And we just have to be -- we have to be far more aggressive and equip the teams in a far more meaningful way to convey the value of our products at the top end and at the middle of the implant market. So, net-net, our rate of new accounts has not offset the decline that we've seen over the past several years. So we just have to, we have to go and do a reset. But again, everything we have heard, Brandon, is there's no reason why we are, we should not be successful in this marketplace even when we -- our sites were not that egregious. Let's grow at the market rate. That was the plan for 2026. Let's be at market growth. So I don't think it was an egregious or aggressive plan. I think it was a fair plan. We have not delivered. So we have to go and do a further postmortem and hold people more accountable to commitments that have been made.
Brandon Vazquez: Okay. And one -- maybe one quick follow-up, if I could squeeze it in real quick. The -- you guys had mentioned hiring a new virtual internal sales team. I'm just curious if you could give us examples of where you envision that virtual sales team really plugging into the commercial organization and when you might start to see some P&L benefits from those investments going forward? Thank you.
Simon Campion: Yes. Thanks, Brandon. So as I noted in the prepared remarks, we have in excess of I think 75 of these individuals fired right now. They're actually starting to make calls today to customers in a specific region in the U.S. We would expect that they will begin generating revenue for us in '25 obviously. I mean '24, it's very late, but they have to build relationships with the targets. The targets, I think there's opportunity across our portfolio. Certainly, I would say in the EDS side, it's probably a little more straightforward to get there. But when we look at the account breakdown of customers that we serve, I think we leave a lot of money on the table. We have a long tail of accounts who purchase only a couple of thousands of dollars' worth of product from us each year. And I think there's an opportunity in that type of account to get a slightly bigger slice of their business. So that's what they're focused on. And it's all about getting closer to the customer, creating demand for whatever channel is served by that particular product line. So if it's endodontics, we will serve it. If it's prevention of Arresto, fine or Patterson or other distributors in the U.S. will serve it. But it's all about getting the Dentsply name out further into the dental community, demonstrating the value that we can bring and trying to earn the right to acquire some more business from all 150,000 dentists in the U.S.
Operator: Thank you. Our final question comes from Allen Lutz at Bank of America. Your line is now open.
Unidentified Analyst: Hi there. This is Dev on for Allen Lutz at BofA. I just had a quick question on implants. Just following up on the conversation there. Considering some of the commentary and sitting below expectations here. One, should we still think about getting to market growth in 2026 as an expectation? And just curious what you think about any additional investments needed there on product or pricing changes given some of the competitive landscape and changes there? And what is required to get to market growth in 2025 -- sorry, in 2026?
Simon Campion: Good morning. I don't think we're going to provide any more guidance at this point with respect to '25 or '26 growth or lack of growth in implants. I don't think it's an egregious thought that we should be growing at that market as I've said in response to the previous question. The work that we've done to assess our portfolio has said, as we've noted several times that we don't have any major gaps. We have invested in clinical education. Maybe we need to pivot that and drive more local education and get at these referral networks that seem to be causing us the challenges to unlock those. I think quite simply, it comes down to our own ability to execute and to equip our reps and educate our reps to have robust conversations with the implantologist community, the referral network and do it in a much faster way, not have this long sale, while they filled up their reputation, but get out faster into the marketplace and begin creating demand. It's a multi-factorial issue as I used that word -- I used earlier on, and we are disappointed with where we sit today on implants. That is for sure.
Unidentified Analyst: Absolutely. And then just last one for me. I think at the Investor Day, there was a mention of a $30 million gross benefit -- gross profit benefit from SKU optimization efforts through 2026. Seems like SKU optimization efforts are progressing well. Could you just give us an update on where that stands in terms of the gross profit benefit, and if that's something that's more of a 2025 event or 2026? Thank you.
Simon Campion: Yes. So I think we just noted that for all intents and purposes, all our transformational efforts including SKU optimization are on track. And that will provide a more robust update when we do year-end earnings in, I guess late February. So that will be our thoughts on that. But we have -- there are no alarms ringing with respect to SKUs right now.
Unidentified Analyst: Thank you.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn the conference back to our CEO, Simon Campion for closing remarks.
Simon Campion: Thank you, operator. So in closing today, I want to express my thanks to you all for joining us and to the entire DENTSPLY SIRONA team for their commitment to our customers and our ongoing transformation of our company. While we know we have lots more to do, we are making progress. We are bringing innovation to the marketplace and we are creating a more disciplined accountable and DENTSPLY SIRONA first culture that will benefit all stakeholders over the long-term. Thank you for your time today.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.